Operator: Good morning, and welcome to the Cousins Properties Fourth Quarter 2022 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would like to turn the conference over to Pam Roper, General Counsel. Counsel, please go ahead.
Pam Roper: Thank you. Good morning, and welcome to Cousins Properties fourth quarter earnings conference call. With me today are Colin Connolly, our President and Chief Executive Officer; Richard Hickson, our Executive Vice President of Operations; and Gregg Adzema, our Chief Financial Officer. The press release and supplemental package were distributed yesterday afternoon, as well as furnished on Form 8-K. In the supplemental package, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. If you did not receive a copy, these documents are available through the quarterly disclosures and supplemental SEC information links on the Investor Relations page of our website, cousins.com. Please be aware that certain matters discussed today may constitute forward-looking statements within the meaning of federal securities laws, and actual results may differ materially from these statements due to a variety of risks, uncertainties and other factors, including the risk factors set forth in our annual report on Form 10-K and our other SEC filings. The company does not undertake any duty to update any forward-looking statements, whether as a result of new information, future events or otherwise. The full declaration regarding forward-looking statements is available in the supplemental package posted yesterday, and the detail special of potential risks is contained in our filings with the SEC. With that, I'll turn the call over to Colin Connolly.
Colin Connolly: Thank you, Pam, and good morning, everyone. We had a strong fourth quarter at Cousins to close out a productive 2022. On the earnings front, the team delivered $0.66 per share in FFO and same property net operating income increased 2.5% on a cash basis. Importantly, we leased 632,000 square feet during the quarter with a 7.3% cash rent roll-up. Excluding Houston, where we signed a strategic 328,000 square foot renewal and expansion with Apache, the cash rent roll-up was 27.7%. For the full-year of 2022, we executed approximately 2 million square feet of leases with a 9.5% cash rent roll out. These are terrific results. Before providing an update on our strategy at Cousins, I will share a few observations on the macro environment: First, despite inflation, the Federal Reserve and other central banks around the world have rapidly raised interest rates to slow economic growth. Financial conditions have tightened. In response, companies are becoming more efficient. In some cases, this includes employing fewer people and reducing office space. Second, we are seeing an increase in office utilization. According to Castle, physical office occupancy averaged over 50% during the last week of January, the highest since the start of the pandemic. Austin, our second largest market led the survey at 68%. As the health crisis fades and financial pressures grow, CEOs are increasingly more focused on results and surveys. Rebuilding culture, collaboration and mentoring are now clearly priorities for innovative companies. Return to office mandates have accelerated, and this trend is likely to continue. Third, there is little to no leasing demand or capital available for older vintage, lower-quality office properties. As a result, the values of these properties will likely reprice to facilitate a repurposing or even a teardown. This process will take time to play out. In the meantime, these types of buildings will likely stagnate and have a reduced impact on the overall office market. Lastly, the pipeline for speculative new development projects is shrinking. So what are the implications for office real estate. In the short-term, leasing demand is likely to soften, expanding office footprint is challenging amid shrinking headcounts. However, silver linings are taking shape. The office market has begun the process to rebalance. Our customers are returning in greater force. Accelerated obsolescence is reducing the existing inventory. New development is minimal. And after companies right size and adapt to a more normalized world, they will grow again. Improving supply and demand fundamentals are not that far over the horizon for premier properties. The trend of growing companies distributing their workforces across attractive, affordable markets in the Sun Belt is still in the early innings. The flight to quality continues. Leasing demand is outsized for premium workplaces in amenitized locations. The [Indiscernible] is headed towards our Sun Belt trophy portfolio. Our conviction around our simple and compelling strategy to build the preeminent Sun belt REIT continues to grow. As I mentioned, market conditions will likely become more challenging in 2023. However, we built Cousins to thrive during all phases of the economic cycle. We are exceptionally well positioned today. Let me highlight why. First, we own the leading Sun belt trophy office portfolio in the best submarkets in Atlanta, Austin, Charlotte, Tampa, Phoenix, Nashville and Dallas. Likely surprising to some, our customers are growing. During 2022, our renewing customers expanded by 162,000 square feet in total. Importantly, our lease expirations through 2024 averaged just 5.1% per year of annual contractual rent among the lowest in the office sector. This positions us favorably to grow occupancy despite a softer market. Next, our $428 million development pipeline with the office component 63% pre-leased is appropriately sized and positioned for the current climate. We will benefit from meaningful incremental NOI during 2023 and 2024, while having only modest speculative risk. We approached 2022 with caution. While asset values were repricing, we intentionally and patiently prioritize our best-in-class balance sheet over new investments. Our net debt-to-EBITDA closed the year at 4.9 times. This compares to the Green Street sector average of 8.2 times. Importantly, we have no significant near-term loan maturities and approximately $950 million available on our $1 billion revolving credit facility. Simply put, we have significant liquidity and capacity to pursue compelling new investments in a dislocated market when many peers now lack capital to compete. In closing, we are mindful of the potential impacts of higher interest rates and a slowing economy. However, over the long-term, we are optimistic that premier workplaces will separate into its own asset class with improved sentiment. Cousins is an exceptionally strong position. We are in the right Sun belt markets; we own a trophy portfolio; we have a fortress balance sheet and our talented and creative team is a differentiator. Before turning the call over to Richard, I want to thank all of our employees at Cousins who provide excellent service to our customers. Their dedication, resilience and hard work continue to propel us forward. Thank you. Richard?
Richard Hickson: Thanks, Colin, and good morning. Our operations team closed out 2022 with another solid quarter. I'm very proud of our team for finishing the year well in the midst of a complicated macro backdrop. We remain encouraged that the Sun Belt migration and flight to quality trends are intact. Additionally, we are pleased to see more influential companies in a number of industries calling for employees to spend more time together in the office. We expect this trend to continue. For the fourth quarter, our total office portfolio weighted average occupancy and end-of-period lease percentages were 87.1% and 91%, respectively. Those numbers include the addition of $100 million, and 92.3% leased and occupied new development in Phoenix into the operating portfolio. Our weighted average occupancy was down 0.2% in the quarter, driven primarily by a couple of explorations at San Jacinto Center in Austin and Tippy Gateway and Phoenix, both of which have been partially backfilled. Our lease percentage increased almost a full percent from last quarter, largely driven by the recently announced 328,000 square foot lease for Apache Corporation's new global headquarters at Brier Lake Plaza in Houston. As Colin said, when we announced this lease, this highlights the importance of Premier workplaces and foster employee collaboration and enhancing company culture. Apache's employees will experience an engaging, state-of-the-art workplace when they arrive at BriarLake, and we are excited to be a part of. In the fourth quarter, we executed 39 office leases totaling 632,000 square feet with a weighted average lease term of 11.6 years. This was our highest quarterly square footage volume of 2022. And excluding new development, it was also the highest since the third quarter of 2019. Our total signed activity for the full-year was just under 2 million square feet, a fantastic year of leasing for Cousins. The Apache weeks was clearly a big contributor to our fourth quarter leasing volume. However, it also muted overall leasing economics given it was in the relatively weaker non-core Houston market, namely our recent concessions, defined as the sum of free rent and tenant improvements were elevated and weighed on net effective rents. I'm pleased to say that even with our outsized leasing activity in Houston, second-generation net rents for all activity increased 7.3% on a cash basis and in the fourth quarter and 9.5% for the full-year. I also want to share some of the metrics behind our fourth quarter leasing activity, excluding Houston, in order to provide better insight into our core markets. Excluding Houston activity, we executed 36 leases in the fourth quarter, totaling 296,000 square feet with a weighted average lease term of 8.1 years. New and expansion leases represented 49% of total leasing activity. 83% of our activity net of Houston was in Austin and Atlanta and activity was balanced in terms of industries. Leasing concessions, excluding Houston, were $5.88 this quarter, 19.7% below our weighted average for the first nine months of the year. Further, net effective risk this quarter were a company record $30.61, when excluding Houston. Lastly, when excluding Houston's second-generation net rents increased 27.7% on a cash basis in the fourth quarter. From a broader market perspective, the flight to quality continues to bifurcate the market. According to JLL, assets built since 2015 saw 8.1 million square feet of positive net absorption last quarter and 33.8 million square feet in 2022. JLL Research also found that assets less than 10-years old captured 14.1% of gross leasing activity this past quarter, a 22.6% increase in share compared to the previous cycle. Even with the powerful flight to quality trend in our favor, we are seeing some slowing in our leasing pipeline as macroeconomic uncertainty persists and demand from large technology companies pauses. We expect that our total leasing activity is likely to moderate in 2023. In addition to the softening economy, we have modest lease expirations in 2023 at only 5.1% of our annual contractual rent. Thus, we have fewer renewal opportunities during the year. With a smaller sample size of leasing activity, there could also be more volatility in our leasing statistics quarter-to-quarter. This may especially be the case with net rent growth, which is highly geared to the mix of lease size and geography. For instance, we are in lease negotiations to renew our largest 2023 expiry customer in about 120,000 square feet. They are not a traditional office user and their in-place rent has escalated for a decade. As a result, we expect their net rents to roll down modestly on renewal. Given the size and despite being a fantastic potential lease renewal for Cousins, it could have an outsized impact on leasing metrics in one of the next couple of quarters. With this anticipated renewal of our largest 2023 expiration, minimal expirations otherwise and about 625,000 square feet of signed leases yet to commence in 2023, we see a reasonable path to maintaining occupancy and hopefully growing occupancy towards the end of the year. Moving to some market dynamics. The Atlanta Metro recorded 485,000 square feet of net absorption last quarter, bringing the 2022 total to over 1.1 million square feet, the most in seven years according to JLL. Class A rents in the market were up 5% year-over-year, continuing to be driven by highly amenitized, newer and recently redeveloped buildings. JLL also noted that Midtown posted annual rent growth greater than 10% for the year. We signed 92,000 square feet of leases across all of our submarkets in Atlanta this past quarter, rolling up cash net rents over 10% on average. In Austin, JLL pegged market leasing activity last quarter just below the pre-pandemic average at 1.1 million square feet, with positive net absorption for the fourth quarter and the full-year. We signed 153,000 square feet of leases in Austin last quarter, rolling up cash net rents over 40% on average. Our activity included a 43,000 square foot renewal and expansion of Adobe, a technology customer of the domain. JLL Research also cited that 80% of Austin’s leasing activity this quarter occurred in leases for less than 10,000 square feet, an indication that we see momentum could slow in Austin as larger requirements pause. Fortunately, our portfolio is 95% leased as in-place weighted average lease term of over six years and only 8.2% of our annual contractual rents in Austin expire through 2024, equally balanced between ‘23 and ’24, including only one exploration larger than 50,000 square feet that is in the third quarter of 2024. In the short-term, our portfolio is well insulated from softening fundamentals. Long-term, Austin remains one of the most desirable cities in the nation to live and work with strong demographic and job growth drivers. As the economy and the technology sector rebalances, we expect Austin to be poised for strong growth. In conclusion, our team had a strong finish to the year despite increasingly challenging macroeconomic headwinds. Looking ahead, we are optimistic that great companies will continue to seek high-quality, highly amenitized office space as they increasingly bring employees back into the office. Cousins is well positioned for the long term with a stable high-quality portfolio in the best Sunbelt markets. Before handing it off to Gregg, I want to thank our talented team at Cousins, whose hard work made 2022 a successful year. We look forward to a productive 2023 together. Gregg?
Gregg Adzema: Thanks, Richard. Good morning, everyone. I'll begin my remarks by providing a brief overview of our results, as well as some detail on our same-property performance in parking revenues. Then I'll move on to our capital markets activity and our development pipeline, followed by a quick discussion of our balance sheet before closing my remarks with information on our initial outlook for 2023. Overall, as Colin stated upfront, fourth quarter numbers were really solid. Leasing velocity remained brisk, second-generation leasing spreads were up, and same property, the year-over-year cash NOI was positive. It was also a very clean quarter. There were no unusual fees, gains or other items that materially impacted our results. That being said, interest expense was up significantly during the fourth quarter, driven by higher interest rates. Daily SOFR averaged 3.6% during the fourth quarter, compared to 2.1% during the third quarter and only 5 basis points in the fourth quarter of 2021. Focusing on same-property performance for a moment. Cash NOI during the fourth quarter increased 2.5% compared to last year. This continues a string of improvements during 2022, with the gains largely driven by our properties at Domain in Austin. Looking forward, we anticipate same-property NOI growth to be positive during 2023 on both a GAAP and a cash basis as our strong leasing over the past several quarters bears fruit. As Colin mentioned earlier, physical utilization has continued to increase, and our parking revenues have grown along with it. Parking revenues during the fourth quarter were the highest they have been since the first quarter of 2020. And for all of 2022, parking revenues were up 10% year-over-year. Turning to our capital markets activity. During the fourth quarter, we closed on a new $400 million term loan with our existing bank syndicate that matures in 2025 and includes four six-month extensions. We used a portion of these proceeds to pay off our maturing Promina Tower and legacy Union mortgages. During the quarter, we also refinanced the existing mortgages on our two terminus properties in Atlanta with the current lender, extending it from January of 2023 to January 2031. Looking forward, we only have about 1% of our total debt maturing in 2023. Specifically, we have a mortgage tied to a medical office building adjacent to a hospital that is essentially 100% leased. We own 50% of this Midtown Atlanta property through a joint venture with Emery University. We've initiated the refinancing process and anticipate a late spring closing. Turning to our development efforts. As Richard mentioned earlier, one asset, $100 million Phoenix was moved off our development schedule during the fourth quarter. Our current development pipeline is comprised of a 50% interest in Neuhoff in Nashville and 100% of Domain 9 in Austin. Our share of the remaining development costs is $172 million, $97 million of which will be funded by an in-place Neuhoff construction loan leaving just $75 million to be funded by our operating cash flow over the next two years as these projects are completed. Looking at our balance sheet, net debt to EBITDA is 4.9 times among the best of our office peers. Our liquidity position remains strong with only $56 million drawn on our $1 billion credit facility and our dividend remains well covered with an FAD payout ratio of only 70% in 2022. Our financial position is rock solid as we navigate these challenging economic times. I'll close by providing our initial 2023 earnings guidance. We currently anticipate full year '23 FFO between $2.52 a share and $2.64 per share with a midpoint of $2.58. No property acquisitions, property dispositions or development starts are included in this guidance. If any transactions do take place, we will update our earnings guidance accordingly. While there are no risks within our guidance around speculative property transactions, interest rates remain a risk for all rates. Whether through variable rate debt exposure or pending debt refinancings. As we have for many years, we used the sofer and treasury forward curves to forecast interest rates. To the extent these curves change, which they've been doing quite a bit lately, so of our interest expense. With that, I'll turn the call back over to the operator.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Anthony Powell with Barclays. You may now go ahead.
Anthony Powell: Hi, good morning. Question on Neuhoff in Nashville. And as you -- your completion at the end of the year, early next year, how are leasing kind of conversations going there? Any change in how you're approaching leasing, given kind of the changing office environment, that there would be so helpful.
Colin Connolly: Hey, good morning, Anthony. It's Colin. The Neuhoff project, we remain incredibly excited about. The office component that project is predominantly an adaptive reuse project. And as that now is coming into shape and to form, we're starting to see increased activity in folks that can now kind of touch and feel and experience Neuhoff. So we do have some conversations going with several prospective customers that are encouraging. Our hope is to signed some leases this year. I do think if we sign those leases, just given the time to build out space and occupancy would be towards the back half of the year and likely not have a meaningful impact on our 2023 numbers. But certainly, we think can have a solid impact in our 2024 numbers.
Anthony Powell: Okay, thanks. Maybe just what are you seeing on the transaction environment as things get more difficult in the office space? Are you seeing more deals from the market? I know nothing guidance, but maybe it's an update on volumes, cap rates, so helpful.
Colin Connolly: Yes. The transaction market, I'd say, is still somewhat on hold in terms of actively marketed deals, but we are starting to see a pickup in -- and I characterize as off-market discussions as owners that don't have a strong capital structure ultimately need to fund either leasing costs or deal with an upcoming loan maturity or starting to reach out. And so you’re seeing conversations happen. I’d say there’s still a bit of a bid app spread between buyers and sellers. But as those capital needs become more in focus, I think you’ll start to see a pickup in transaction activity and start to find some price discovery as to where cap rates are.
Anthony Powell: Alright, thank you.
Operator: Our next question will come from John Kim with BMO Capital Markets. You may now go ahead.
John Kim: Thank you. Richard mentioned in his prepared remarks, the slow leasing environment and I guess, basically saying that you're hopeful that you grew occupancy this year. Can you just clarify, is that on a lease percentage basis or occupancy? Because there's a 400-basis point spread currently, you would think occupancy should be trending up this year because of that.
Richard Hickson: Hey, John, it's Richard. That's on occupancy.
John Kim: Okay. So you have a 400-basis point spread in lease occupancy, when do those leases begin on that delta?
Richard Hickson: Well, if you -- I mentioned that we have about 625,000 square feet for just 2023 signed leases that have not yet commenced, the weighted average, kind of, commencement they all know is in the 2Q time frame?
John Kim: Okay, so the remaining 400,000 or so, you're just hopeful to hold it? I'm just taking the difference between expiring and what hasn't commenced yet.
Richard Hickson: Yes, that's right. I mean, how we're looking at the building blocks is that again, given we have expirations that are really historically low and the timing of those, which are more toward the back of the year, put that next to the commencements that we just talked about that we feel like we're going to be able to, through the year, maintain and then hopefully, demand willing, we think build occupancy towards the end of the year.
Colin Connolly: And John, some of the delta between our percentage leased and percentage occupied, some of those leases are ones that won't commence until 2024. So some component of that, again, will be a tailwind for us as we move into 2024. We'll just get some component of that lift in 2023.
John Kim: And Colin, you mentioned obsolescence in your markets. Is there any way you can quantify the percentage of overall stock that's obsolete in your different markets? And what do you think is going to happen to some of these assets?
Colin Connolly: That's a million-dollar question there, John. It is -- it varies by -- from market-to-market. I'd say, certainly, as you look at our Sun Belt markets, I'd say the average vintage of our properties is newer than what you would see in some of the gateway markets. So I think there's overall less obsolescence in our markets. But I'd still -- again, look at anything that was kind of built before the 1990s as you get into that 80s and 70s vintage product. And I think in some markets, it's anywhere from 10% to 20% of the inventory. What happens to, I think, it's going to need to reprice. As I mentioned, there's very little capital or leasing demand for that type of product. And so eventually, it will have to reprice to a value that will allow you to either invest capital to convert it to anything from a residential property to a data center to -- in some instances, if it's just not -- the bones, just aren't there, it’ll will have to reprice to a tear down with some sort of new product built on that. That process will take time. But I think importantly, in the interim, those properties are becoming less and less relevant to the overall office market. And I think effectively, we'll be removed from the inventory. And I think that will help the overall rebalancing of supply and demand for premium properties.
John Kim: My final question is for Gregg, just a following up on Neuhoff. Can you just remind us on your accounting treatment when you start expensing interest on that rather than capitalizing.
Gregg Adzema: Yes. We'll capitalize interest on any development project, including Neuhoff on the unoccupied space until the property has either been delivered for a year or becomes 90% occupied.
John Kim: Great. Thank you.
Operator: Our next question will come from Camille Bonnel with Bank of America. You may now go ahead.
Camille Bonnel: Hi, good morning. You mentioned that cash leasing spreads were significantly higher, excluding the Houston leases, was there any particular market driving the elevated levels? And do you expect to continue signing leasing spreads at these levels?
Richard Hickson: Hi, Camille, this is Richard. Yes, Austin has been and did in this quarter to drive the roll-ups. But Austin was over 10% -- or excuse me, Atlanta was over 10% as well. So -- but Austin really is a driver there. Again, as I mentioned in my remarks, we see some softening happening in Austin potentially in the near-term, so that could moderate. But really, at the end of the day, so we've always said there's volatility in how we report those metrics based on lease mix and geography. So it's tough to predict any quarter-to-quarter.
Camille Bonnel: Okay. That's helpful. And Gregg, I'd like to get your latest thoughts on how you're thinking about your floating rate debt strategy. I know you've spoken to in the past about being 20% as your target level, but with signs of the strengthening consumer and a robust job market. I think there's risk that the Fed continues to keep rates high, if not increase them. So do you still plan to keep this level as a target? Or what's your latest thoughts here?
Gregg Adzema: Sure. So you're right. Our long-term target for floating rate debt as a percentage of total debt is right around 20%. And that's where it is today, 21% as of year-end. We arrived at that level -- let me take a step back. That's consistent with, by the way, with the median curve, the office space as well. Some are at 0, but some are much higher. If you take a look at the 20-odd office companies out there, the average is right around 20%. So we're not high or low relative to our peers. That being said, we do have some benefit of having some floating rate debt on our books, not the least of which is that floating rate debt is oftentimes prepayable without a penalty. And when we're looking at our kind of sources and uses, we want to be able to be opportunistic. And so having the option of repaying some debt without penalty, we think, is a pretty powerful tool to have. And so that's what we have that, among other reasons, is why we have some floating rates has been on our books. So I don't think you're going to see it move materially from 20%. It hasn't in the past in the 12 years I've been here, it's always been right around 20%. I think it will remain there. It really is only comprised of 3 pieces of debt, it's our credit facility. It's the term loan that we just issued, and it's the new health construction on. That's it, but it solves for 20%. And it's something that we keep an eye on as well, and I don't see changing going forward necessarily.
Camille Bonnel: Okay. Thank you for taking my questions.
Operator: Our next question will come from Michael Lewis with Truist. You may now go ahead.
Michael Lewis: Great, thank you. So Richard gave great detail on how concessions looked high during the quarter because of the Apache lease in Houston, but the cost for the rest of the portfolio were actually very reasonable. It looks like maintenance CapEx was a little elevated, too. I don't know if that was also related to Houston. But my question is more broadly where net effective rents are and where they might be going in your markets and for your buildings. You consistently have very strong rent spreads. But do you think it's possible for office net effective rents to grow over the next, pick your time period given what we all see for physical occupancy and tech layoffs and all these apparent challenges for the industry.
Colin Connolly: Good morning, Michael, it's Colin. I'd say our experience over the last couple of years is there's been quite a bit of inflation in pressure on things like TIs and so our overall concessions during that period have escalated, but we've been able to drive kind of face rents to offset that. And so we have been able to grow net effective rents I think we're at a point in time, obviously, where the economy is softening, potentially cycling down. And so as we look forward, I think it's still too early to tell. I'd say the leases that we're working on today, we've characterized net effective rents is kind of flattish, not growing them perhaps like we were last year, but not yet coming in. But typically, in economic cycles, you do see net effective rents soften. But again, I think as we look at the markets that we're in, and we do believe as this process unfolds that we're kind of transitioning out of for trophy premier properties out of this broader existential question around office into an economic cycle. And so what goes down, we think our markets like Atlanta and Austin will be the first markets to recover as they did after the pandemic, after the GFC and we would expect that to continue. So medium and longer term, we remain very optimistic that the quality of properties that we own and the locations that we own, we're going to drive net effective rents up into the right over the broader period of time.
Michael Lewis: Great. And then Colin, you talked about cap rates and this bid-ask spread. So I guess it poses two questions, right, on the buy and on the sell. So first, on the sell, now that Houston is leased do you market that asset? Or do you wait for capital markets to kind of sort out? And then on the other side of it, you weren't acquisitive in 2022, but do you think this situation maybe offers an opportunity to buy something or I don't know, maybe your focus is still more on development.
Colin Connolly: Yes. Well, the great thing about the strength of our balance sheet is -- we've got a lot of optionality, and we don't need to sell anything, because the balance sheet is so strong. So if an opportunity presents itself to sell something for more than we think it's worth, we'll certainly look at it. But I would say more broadly speaking, we're looking at dispositions as a potential source of capital if we elect to pursue new investments to keep the balance sheet relatively leverage neutral. But at the same time, I do think we're going to see opportunities this year. We were very patient last year thinking that prices would look better in 2023. And I think that's going to hopefully prove correct. And I think the closer I think, some owners get to having to either fund leasing costs to preserve their asset value or deal with loan maturities. I think you're going to see that for some transactions that might be in the latter half of the year. But when those arise, we'll be poised and ready to hopefully capitalize on some compelling opportunities.
Michael Lewis: Hey, great. Thank you.
Operator: Our next question will come from Dave Rogers with Baird. You may now go ahead.
Unidentified Participant: Hey, guys. It's Nick on for Dave. Maybe starting off with Colin in the same vein on investment sales and/or this portfolio positioning through your recycling efforts over the past couple of years, you've kind of downsized exposure and say, like our Charlotte older vintage assets. That's also kind of increased your exposure to some of the more tech-heavy metros, such as like Atlanta and Austin. I guess just kind of how are you viewing the portfolio on a geographic positioning today? And like what markets are you looking to gain more exposure over time?
Colin Connolly: Yes. Good question. And I'd say the recycling over the last couple of years was less focused on kind of the geographic percentages and more focused on what we think is the most important trend, which is the flight to quality. And so we sold over $1 billion of older vintage higher CapEx type properties that I described have got growing obsolescence and reinvested that capital into terrific trophy properties like 725 Ponce and the railyard in Charlotte. But as we look up after completing that recycling, you're right, we're, I'd say, a little under representative in some markets that we like a lot, like Charlotte, like Dallas, and so we'll certainly be looking hard to find attractive opportunities to grow our exposure in those markets. But we continue to like Atlanta and Austin and others and despite a slowdown in tech activity, again, our portfolio is incredibly well positioned and derisked in those markets. And if the right opportunities arise, we'll certainly capitalize and continue to grow in any of our markets.
Unidentified Participant: Very helpful. And then maybe just a comment on your question on sublease space. I know like areas such as the domain, you have long-term walls in those areas. But just curious on any of your particular properties that might have some sublease space that's listed?
Colin Connolly: Yes, the -- we've got some subleasing. There are some customers who've got some subleases in our portfolio -- across the portfolio, but not a significant number today. And really, as you look at it, the domain, that's what I think people oftentimes focus on. We've got some very large tech customers in D10, D11 and D12 and D9 will deliver next year. Expedia has got a little bit of space in the D11 property out there. Our perspective on that is with long-term leases with no kind of termination options on any of those in the near term, actually wouldn't be a bad thing from a diversification standpoint as some of those customers actually did multi-tenant those buildings for us. And so we'll continue to monitor if situations arise that are positive for us. We'll work with them. But as we stand today, there's not a material amount of sublease.
Unidentified Participant: Thanks, Colin.
Colin Connolly: Thank you.
Operator: Our next question will come from Jay Poskitt with Evercore ISI. You may now go ahead.
Jay Poskitt: Hey, good morning. Thanks for taking my question. I know that you guys have a pretty good size of land bank of $160 million. I'm just kind of curious what your thoughts are on certain projects of any of these sites. I know that guidance hasn't called for any development starts, but I'm just kind of curious what your thoughts are on utilizing some of these land. And if you're not playing out sort in the next couple of years, what do you need to see in order to kind of change your mindset with those? Thanks.
Colin Connolly: Yes. I mean we own a terrific land bank, and we've always tried to size that land bank at between 2% and 3% of the overall balance sheet to really give us the role the raw materials, if you will, to start new development projects, and we've found in the past that if a customer comes to the market and you don't have a piece of land, it's hard to ultimately win the business. So we're about today about 2.5% or so. So we actually have a little bit of room, and we might see some land opportunities in this environment. But ultimately pulling the trigger on any of those projects, whether it's an office development or a residential development in a mixed-use setting, the return has got to be appropriate relative to the cost and the risk. My sense is in the near-term, we're going to see more attractive opportunities on the acquisition side. But again, you never know, and there are some customers out there that we're talking to today that could be potential build-to-suit opportunities. And so those will certainly be worthy of consideration.
Jay Poskitt: Great. Thanks that’s all from me.
Operator: Our next question will come from Young Ku with Wells Fargo. You may now go ahead.
Young Ku: Great. Thank you. Just I think you guys mentioned the largest lease expiration in '23, about 120,000 square feet. Could you guys provide some additional color on that, which market it is? And then whether there will be any contractions or expansion associated with that space?
Richard Hickson: Yes. This is Richard. It's in Atlanta. It's in November of this year. Their existing square feet about 135,000. So it's going to be a modest contraction, so call it a 90% of existing space renewal.
Young Ku: Got it. Thanks for that Richard. And then just regarding your guidance for '23, what kind of retention rates are you guys assuming?
Colin Connolly: This is Colin. We certainly do a customer-by-customer buildup to create our budget. But we're obviously in active discussions with a lot of different customers and on potential renewals. And so we've never publicly shared our retention rates and just don't want to do anything that could compromise some of the negotiations that we're in the midst of.
Young Ku: Got it. Okay, that’s fair enough. Thank you.
Operator: It appears there are no further questions. This concludes our question-and-answer session. I would like to turn the conference back over to Colin Connolly for any closing remarks.
Colin Connolly: Thank you all for your time today and interest in Cousins Properties. If you've got any follow-up questions, please feel free to reach out to Gregg Adzema or Roni Imbeaux. Hope to see you all soon. Thank you.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.